Operator: Good morning, ladies and gentlemen. Welcome to the Invesque Second Quarter 2022 Conference Call. I would now like to turn the call over to Scott Higgs, Chief Financial Officer. Mr. Higgs, you may begin. And one more note, today's call is being recorded. Mr. Higgs, please go ahead.
Scott Higgs: Thank you, April. Good morning, and thank you for joining the call. On the phone with me today are Scott White, our Chairman and Chief Executive Officer; and Adlai Chester, our Chief Investment Officer. Scott will get us started with a summary of some recent dispositions and touch on the positive occupancy and overall financial trends we are seeing with our Commonwealth and other SHOP portfolios. I will then discuss our financial results for the quarter, and Adlai will wrap things up with some specifics on operating trends and additional details on the company's disposition activity over the last 12-months. We will then open the line for Q&A. The second quarter 2022 earnings release, financial statements and MD&A are available on our website, and a replay of this call will be available from 12:45 p.m. Eastern Time today to 11:59 p.m. Eastern Time on August 17. Please be reminded that today's call may include forward-looking statements regarding future operations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today. We have identified such factors in our news release and other public filings. As we discuss our performance, please bear in mind that all amounts are in U.S. dollars unless otherwise specified. With that, I will turn the call over to our CEO, Scott White.
Scott White: Good morning. Thank you for joining Invesque's second quarter 2022 earnings call. As we are now more than halfway through 2022, I'm excited to provide you with an update on the execution of our strategy to simplify our portfolio, simplify our story and simplify our balance sheet. As part of this strategy, we continue to reposition the company to primarily focus on private pay senior housing assets. We'll also statement is to highlight a positive occupancy and financial momentum that we continue to see from our captive management company, Commonwealth Senior Living. The Commonwealth portfolio continues to be one of the key areas of focus for our company, and I'm pleased with the performance to date in 2022. I will also take a minute to highlight the positive occupancy and financial momentum that we continue to see from our captive management company, Commonwealth Senior Living. The Commonwealth portfolio continues to be one of the key areas of focus for our company and I'm pleased with the performance to-date in 2022. The highlight of our year-to-date results has been our disposition strategy, so far in 2022 we have sold 21 properties valued at over $190 million. These sale transactions have helped us make great strides to becoming a predominantly private-pay seniors housing-focused company. First, by reducing our skilled nursing exposure and second, by reducing our medical office building investments. The first step was reducing our investments in skilled nursing. On our last earnings call, we announced the sale of our Bridgemoor Transitional Care portfolio effective April 1st. As a reminder, that sale included four assets in Texas and was sold for $52 million. This coupled with the sale of our Ensign portfolio last fall represents a large step in the reduction of our skilled nursing exposure. The second step is reducing our investments in medical office buildings. Two weeks ago, we announced the sale of the majority of our medical office portfolio at very attractive pricing, which is a huge win for the company and a large step toward the simplification effort I keep highlighting. This included the sale of a single medical office property in Orlando, Florida where the anchor tenant acquired the property from Invesque. The second sale was a larger transaction that included the sale of substantially all of our properties in Canada for CAD94.3 million. As a result of these transactions, we now have only four medical office buildings remaining with approximately 190,000 rentable square feet. We're currently evaluating disposition options for these assets and it is likely that we will fully exit the medical office sector within the next year. Also in the second quarter, we closed on the sale of our interests in two 55 plus communities that were previously managed by Calamar. This transaction closed on June 15th and we received net cash proceeds of $10 million at closing and utilized those proceeds to continue de-levering and simplifying the balance sheet. In most cases, we have used sale proceeds from these transactions to pay down debt or otherwise reduce company leverage. I think, you should expect to see this trend continue in the coming quarters as we remain diligently focused on creating a private-pay focused seniors housing portfolio with a handful of our preferred operating partners. The team at Commonwealth continues to see strong progress with occupancy reaching pre-pandemic occupancy levels in July for the first time in over two years. The portfolio of 28 assets that Commonwealth manages on behalf of Invesque saw a 500 basis point increase in occupancy from January 1st to June 30th and that momentum continued through July. The occupancy gains coupled with resident rate increases that went into effect on March 1st resulted in strong performance from the Commonwealth portfolio in the second quarter. While I remain optimistic that we will see continued positive progress from the Commonwealth portfolio for the remainder of 2022 and into 2023, it is worth noting that staffing remains a significant challenge for Commonwealth, and the rest of our operating partners. Many operators are being forced to be creative on ways to attract and retain staff, as well as control expenses that continue to creep up. I'm optimistic about the future of the industry and believe that the demographic tailwinds we have all been discussing for the last five, 10 years are really starting to come to fruition. With that, I will turn the call back to Scott to touch on our financial metrics for the quarter.
Scott Higgs: Thank you, Scott. For the three months ending June 30th, FFO was $0.11 per share and AFFO was $0.12 per share. As Scott mentioned, we have been strategically disposing of assets in recent quarters to be more focused on the opportunity that we believe currently exists in private-pay seniors housing. With each disposition, our finance team has been strategically allocating sale proceeds to de-lever and streamline our capital stack. Year-to-date, we have repaid over $104 million in consolidated indebtedness. This includes paying down a portion of our KeyBank revolver as well as fully repaying the credit facility secured by our medical office building portfolio. In addition, we have made the strategic decision too as capital becomes available retire portions of the preferred equity instrument that currently encumbers the Commonwealth portfolio. Earlier this year, we retired $10 million of this preferred equity. This retirement is accretive to Invesque as the preferred equity currently features a 6.5% interest rate and this rate escalates as we move into future periods. In addition to utilizing dollars to repurchase shares and debentures under the NCIB, we feel that retiring this preferred equity instrument is a prudent use of the company's excess capital. Our team continues to monitor the changing interest rate environment. I'm pleased to report that we have only 3% of our consolidated debt maturing over the next 12 months, and that 78% of our consolidated debt features a fixed interest rate. This positions us well as we continue to keep an eye on the changing macroeconomic environment. As previously announced and highlighted on our last call, the company announced that Toronto Stock Exchange approved its notices of intention to make a normal course issuer bid for a portion of its common shares and a portion of its 6% convertible unsecured subordinated debentures due September 30, 2023, as appropriate opportunities arise from time to time. Through the end of July, we have redeemed approximately 414,000 common shares at an average price of $1.41 and approximately $70,000 of convertible debentures under the NCIB. This will continue to be part of our go-forward strategy as we continue to believe that this nominal use of capital has great inherent value to the company and its stakeholders. I will now turn it over to Adlai.
Adlai Chester: Thank you, Scott. As has been the case for the last few quarters, the operating results of our triple-net portfolio continue to struggle as operators attempt to rebuild census and manage costs during what is one of the most challenging staffing environments our industry has ever seen. As Scott highlighted earlier, we are, however, seeing very positive occupancy trends in our Commonwealth portfolio and are seeing positive census growth in the majority of our SHOP assets to-date this year. As always, a friendly reminder that we report the operating metrics of our triple-net lease portfolio a quarter in arrears due to the timing of receipt of operator financial statements. Our stabilized portfolio EBITDARM coverage remained slightly below 1.0 times for the period ended March 31, 2022. A of March 31st, the trailing 12 month occupancy for the stabilized triple-net assets and stabilized SHOP portfolio remained flat at 74% and 76%, respectively. Given the recent sale of the majority of our medical office portfolio, we will not be providing occupancy data on the four remaining assets as they make up such a small portion of our portfolio going forward. For the last couple of quarters, we have highlighted that rental rate increases of our SHOP portfolio, as we think this is an important number to highlight, as it shows the success our operators are having in driving revenue to help offset the increased cost of the current operating environment. Outside of wage pressure and agency staffing costs, our operators have seen increases in food and supply cost, maintenance cost and insurance costs. For the 12-month period ended March 31, 2022, the average monthly rate paid by residents in our stabilized SHOP portfolio was up 4.3% versus the period ended March 31, 2021. Many of our operators implement resident rate increases on an annual basis and we expect that our operators and mostly the industry will rollout significant rate increases again in the first quarter of 2023. Next, I'd like to provide some additional commentary about the sale transactions that we consummated in second quarter and subsequent to quarter end. The sale of our stake in the Calamar properties may seem like a departure from our goal of becoming a predominantly private-pay senior housing owner, but it is actually quite consistent. The Calamar properties were entirely private pay but are operated as age-restricted apartment complexes. This means that the communities do not provide care services and residents are not able to aging place like in our other senior housing communities. This also means that demand for these communities does not need driven like our other senior housing communities. We believe that the operating results for these types of communities could be more volatile because they are dependent on the housing market and much less dependent on the demographic shift of aging seniors who need care services. Additionally, the sale price that we achieved on these properties exceeded our expectations, which signal to us that it was the right time to exit the investment. The sale of the majority of our medical office properties advances our shift to private-pay senior housing significantly. When we initially acquired the medical office portfolio, our strategy was to grow that portfolio with bolt-on acquisitions in Canada and the U.S. Ultimately, that proved more challenging than anticipated and we saw a very few attractive opportunities to expand the portfolio, especially in Canada. When we transitioned the management of our portfolio to JLL, our goal was to stabilize the portfolio and get it ready-to-market. We are proud of our joint efforts with the JLL team to stabilize portfolio's results and attract the buyer for the portfolio at excellent pricing. There are a few logical buyers of the medical office portfolio that spans both countries, so taking different approaches for the two countries was the logical conclusion. The sale of our University Boulevard property to its anchor tenant was a highly efficient transaction that allowed us to jumpstart the disposition process. The sale of the Canadian properties was the product at a competitive prices orchestrated by BMO that resulted in a very strong pricing. As a result of the two transactions, we have one remaining medical office building in Canada and three in the United States. We are in active discussions with multiple prospective buyers on the remaining assets and believe that an exit of the remaining medical office properties in the next 12 months is highly likely. Again, these transactions are all part of our strategy to create a strong portfolio of private-pay senior housing assets. As a result of the disposition transactions, over 60% of our pro forma NOI will be generated by our private-pay senior housing assets compared to over 75% of our NOI coming from skilled nursing five years ago. This proportion will continue to increase as we look to complete the disposition of our medical office assets and identify skilled nursing facilities that would achieve attractive valuations. Finally, I'd like to touch on the continued recovery of the senior housing industry. We closely monitor the disclosures by other public companies invested in senior housing, along with the updates provided by industry data provider NIC. We are encouraged by the continued increase in census and rent growth across the industry, but we are especially encouraged by our portfolio's performance relative to the average. As Scott mentioned, the 28 properties managed by Commonwealth Senior Living saw occupancy growth of 500 basis points during the first six months of 2022 and if we look at our aggregate SHOP portfolio, it saw occupancy growth of 520 basis points during the same period. By comparison, the industry as a whole saw roughly 200 basis points of occupancy growth during the same period. The occupancy gain generated by Commonwealth is just one of many metrics that tell us that Commonwealth is truly an industry-leading operator and we are thrilled to be partners with their executive team. With that, we can go ahead and open the line for questions.
Operator: Thank you. [Operator Instructions] And we'll first hear from Frank Liu of BMO Capital Markets.
Frank Liu: Good morning, everyone.
Scott White: Good morning, Frank.
Frank Liu: Good morning. Congratulations on another busy quarter on the portfolio transformation front.
Scott White: Thank you.
Frank Liu: Just wanted to follow up on the disposition of MOB. I'm just curious, which three MOB hasn't been sold in Canada? And is there a reason why was that sold along with the disposition of other MOBs you sold earlier in July in Canada?
Scott White: So just to clarify what has or has not been sold. There are four properties that have not been sold. Three of them are in the U.S., only one remains in Canada. So, there's one in Canada, three in the U.S. As Adlai touched on, to a certain degree, there weren't logical buyers for both U.S. and Canadian assets, so we bifurcated the process, ran them separately and tried to maximize value specific to the assets. So, for example, we had properties across Canada, then we had two in Florida and two in New York. One in Florida sold to the tenant. The tenant was a logical buyer for that property, that had been in it for a long time, and they were willing to pay what we believe was probably more than anyone else, so that one took care of that one. Almost all the Canadian assets, one to one single buyer and then the three remaining U.S. assets, we are currently assessing options for. We're not in a hurry to sale those assets for prices that we don't think are fair. We're looking to maximize value and it is my expectation that in the next year, we will likely be entirely out of the medical office building business.
Frank Liu: Okay. Appreciate the color. That's great. Just wanted to switching gears to IFRS cap rate. It's pretty encouraging to see the quarter-over-quarter compression. Just wondering, was the compression mostly driven by dispositions incurred during the quarter, or is there some other adjustments you are doing on the valuation side?
Scott White: Hey, do you want to take that one?
Scott Higgs: Frank. Yes, for sure. And the answer is yes, that's primarily due to the disposed of portfolios is driving the change.
Frank Liu: Okay. And then the follow-up on that is the fair value loss of $18.6 million was just driven by the write-offs to nursing assets, right, to reflect the current market conditions?
Scott Higgs: That's correct.
Frank Liu: Okay, great. Just last question from me. With respect to the SHOP portfolio and I mean, it's definitely encouraging to see the improvements on the operational front, should we expand more occupancy gains on revenue per resident goals further down in the second half of 2022?
Scott White: We absolutely do. I want to be careful not to overplay, but the trend we're seeing across the industry, so let's start at a macro level, is increasing occupancy and increasing average daily rates. As Adlai talked about, we've seen specifically in our Commonwealth portfolio that over the last six months, Commonwealth has exceeded the occupancy gains more broadly in the industry, as well as the average daily revenue that we have seen more broadly in the industry. So, when you fast forward, you look ahead, I do believe we're going to continue to see increasing occupancy and I do believe we are going to continue to see increasing average daily rate. And I want to caution that we're also grappling with increasing expenses. There is no doubt that the rent increases are directly correlated to and in part driven by the increases in expenses. We were very thoughtful and careful about increasing rents. These are people's homes and we need to respect the cost of living in our facilities. We also need to make sure that we're delivering high quality care and across both Commonwealth and other partners, we're seeing increases in labor cost, increases in food cost, increases in general inflationary cost. So, right now, we are hoping that the revenues will continue to exceed the expenses and we'll be able to expand margin and I do believe that occupancy will continue to trend in a positive direction.
Frank Liu: Okay. Great. Sorry, just want to follow-up one last question. The revenue per resident for SHOP, I see changing quite a bit from Q1 to Q2, is that like more resident or is that like due to like new resident paying higher rent or is it more service offering as we're exiting the pandemic, I mean, like tenants using more services on site?
Scott White: So, all of our tenants, all of our operators, including Commonwealth have been reusing rents. It's, as I mentioned, as a result of increased expenses that we're seeing. We've been raising rents. I think, Adlai mentioned that we implemented a March 1st across the board rent increase in our Commonwealth portfolio and other operators are doing the same thing.
Frank Liu: Okay. Got it.
Scott White: Yes.
Frank Liu: Thank you very much for the color. Congrats on another great quarter. And I'll turn back.
Scott White: Thank you, Frank.
Operator: [Operator Instructions] Next, we'll hear from Tal Woolley of National Bank Financial.
Tal Woolley: Hi. Good morning, everyone.
Scott White: Good morning, Tal.
Tal Woolley: On the triple-net side, I'm just wondering like what sort of needs to happen at the operator level when you're talking to your tenants to get -- be sort of to improve the rent coverage on site? Is it merely a question of eliminating COVID costs or bringing down staffing cost at the operator? Can you just give me a little color around what they're trying to change?
Scott White: So, I think it's a number of things. What you're looking at primarily is the skilled nursing portfolio. The skilled nursing has been much slower on occupancy recoveries. Skilled nursing is -- and this is related to triple-net question, has continued to grapple with the same increased expenses that I just talked about and it's a little bit harder on the skilled nursing side to implement rent increases. As you may recall, a lot of the skilled nursing side of the business, which is where most of our triple-net is, is government reimburses Medicare and Medicaid, which doesn't give the operator as much control to raise rents.
Tal Woolley: And -- it’s CMS I believe right is the agency in charge of controlling that -- how those reimbursement rates are. Do you have a sense of what the outlook is for any sort of improvement there?
Bryan Hickman: Yes. Hey, Tal. This is Bryan Hickman. I'll take your question there. So, when we look at our skilled nursing portfolio, there is really sort of two governing bodies. CMS is responsible for setting Medicare payment policy and that turned out to be a positive surprise in the recent final rule that was released just last week. So, payment rates effective October 1st of this year will go up by 2.7% and why I say that's a surprise positive, there were many in the industry who were expecting payment rate to decrease year-over-year. So, what I think you see there is Medicare recognizing that there is inflationary pressure associated with patient care that even though all other things being equal, Medicare would prefer to hold rates or reduce them, they do need to pay the providers to make sure they're able to care for their residents. The other sort of governing body is each individual state, which sets the Medicaid payment policy and roughly half if not more of our patients in our skilled nursing portfolio are Medicaid patients and so, those payment policies are very important for us to monitor. When we look at the states in which our skilled nursing assets are concentrated, we actually saw some outsized increases to Medicaid rates. For example, Illinois recently passed a $700 million, overhauls the Medicaid program, which will result in sort of meaningful increases to Medicaid patient care. We estimate somewhere in the 10% to 11% range. All of that again is to say that the states would probably rather have flat or no increases, but they recognize that they need to pay the operators to ensure quality patient care. And many of those rate increases are effective either July 1 or September 1, so we haven't seen those roll through our results yet.
Tal Woolley: So fingers crossed, hopefully, we should expect to see some improvement in the coverage ratio maybe by the end of the year. Let's say is that a reasonable assumption?
Scott White: Yes.
Bryan Hickman: I would expect those things to have a positive impact on coverage. Yes.
Tal Woolley: Yes. Okay. And then, just a bigger picture, as you are sort of reformatting the portfolio here, is there a target amount of dispositions you're looking to achieve or a target -- leverage target or a target asset mix? And how long do you think it will take you to get there?
Scott White: So, let me start with the last part of the question, work backwards. In terms of target asset mix, we are pushing to become a predominantly seniors housing portfolio. I emphasize the word predominantly, because I want to be careful about not suggesting we're going to be exclusive and why do I do that? Because as I said a few times, we're not going to sell assets just for selling sake. We're being very methodical, thoughtful, maybe even slow to a certain degree to make sure that we find the right buyers to maximize value. If I have that proverbial magic wand, I'd love to be a 100% seniors housing by year end, but I don't have that magic wand, so I have to be realistic in saying that when we find the right opportunities, we are going to continue to dispose of non-seniors housing assets. We've already eliminated a number of seniors housing assets that were just cash flow negative, so we've strengthened the seniors housing portfolio. We've eliminated non-seniors housing assets and my goal, hope, expectation is that as we get to year end and into the new year, it will be substantially all seniors housing. As it relates to leverage, we're continuing to chip away at it. As you can imagine, it's hard, right? When you started as a -- I shouldn't say started, when earlier this year, last year, you were levered at the levels you are, it takes a lot to chip away. Higgs, what have we chipped away at from a leverage standpoint over the last six-12 months?
Scott Higgs: Over the last 12 months, it's about 400 basis points down.
Scott White: Okay. So, you have eliminated 400 basis points over the last 12 months and you should expect to see that we're going to keep slowly chipping away at that. As you know, we have a convert coming due next year, so that's part of our thinking as we think about de-levering. What else is in your question? Did I miss anything? Oh, target pace of dispositions. Yes, target --
Tal Woolley: Yes.
Scott White: So, there isn't a specific target pace of -- I don't want to have. As you look back, over the last I guess it's a year and a half, we are probably close to $400 million now but I don't want to suggest, well, that was the whole $400 million or that the forward goal is X $100 million, that's not the goal at all. The goal is to maximize value, create incremental value for our shareholders and reposition the portfolio as a simpler predominantly private-pay seniors housing portfolio.
Tal Woolley: And Scott, I guess, like I -- just to ask the question simply because of your prior experience with health lease and stuff like that. Is it like are we positioning this ultimately to try and sale Invesque or are we looking to have this be sort of like an ongoing you want to continue to run this for the long-term in the public markets?
Scott White: Look, everyday, we're looking to maximize value for shareholders in any which way that can happen is what we're focused on. What exactly that looks like. I think it's hard to say. It would be, I think inappropriate to suggest that we run the company either for sale or for some strategic option. We run the company to create shareholder value, whether that comes through some sort of strategic sale or through some sort of other method, I think it's to be determined.
Tal Woolley: Okay. And then, just lastly, the Magnetar preferreds, if I recall correctly, there's a ratchet in the liquidity preference and I can't remember when that starts to kick in, if it's be there but if it's coming soon. And also, I just -- like it's an expensive piece of capital too like is there any thought to trying to refinance that out?
Scott White: Higgs, do you want to take the ratchet element?
Scott Higgs: Yes. For sure. I can follow up with you in terms of the specifics of the elements of Magnetar, but in terms of current state, I think in terms of priority and cost, right? I mean we have the 2023 debenture due 13-month -- 13, 14 months from now, which we're focused on. And the MCAP preferred equity actually has a higher coupon rate today and that one ratchet starting the August 1, '23. So, in terms of coupon rate, that one is a little bit more expensive. So, I'd say that's where we're focused on.
Tal Woolley: Okay. And you're free to like take that out at any point or is there a --
Scott Higgs: That's correct.
Tal Woolley: Okay. And there is no like --
Scott Higgs: That's correct.
Tal Woolley: Got it. All right. Perfect. Thanks, gentlemen. Appreciate it.
Scott White: Thanks so much.
Operator: And that does conclude the question-and-answer session for today. And it also concludes today's conference. Thank you all for your participation. You may now disconnect.